Operator: Thank you for standing by, and welcome to the Second Quarter 2021 Sealed Air Earnings Conference Call. At this time all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the call over to Lori Chaitman, Vice President of Investor Relations. Please go ahead.
Lori Chaitman: Thank you, and good morning, everyone.  With me today are Ted Doheny, our CEO and Chris Stephens, our CFO. Before we begin our call today, I'd like to note, that we have provided a slide presentation to help guide our discussion. Please visit our website, where today's webcast and presentation can be downloaded from our IR website at sealedair.com. I'd like to remind you that statements made during this call stating management's outlook or predictions for future periods are forward-looking statements. These statements are based solely on information that is now available to us. We encourage you to review the information in the section entitled forward-looking statements in our earnings release and slide presentation, which applies to this call. Additionally, our future performance may differ due to a number of factors. Many of these factors are listed in our most recent annual report on Form 10-K and as revised and updated on our quarterly reports on Form 10-Q, and current reports on Form 8-K, which you can also find on our website or on the SEC's website at sec.gov. We also discuss financial measures that do not conform to U.S. GAAP. You will find important information on our use of these measures and their reconciliation to U.S. GAAP in our earnings release. Included in the appendix of today's presentation, you will find U.S. GAAP financial results that correspond to the non-US GAAP measures as we referenced throughout the presentation. I will now turn the call over to Ted. Operator, please turn to slide 3. Ted?
Ted Doheny: Thank you, Lori, and welcome to our second quarter earnings call. We appreciate your interest in SEE and hope you and your families are staying safe and healthy. We're working through very exciting and challenging times as we transform SEE. We're accelerating our strategy to take us to world class in everything we do. As you can SEE on slide 3, we're in the business to protect to solve critical packaging challenges, and to make our world better than we found it. On today's call I'll recap our second quarter 2021 performance. I'll share a strategy for growth and automation, digital and sustainability within our global markets. Chris will review our financial results and outlook in more detail. I will then end with closing remarks and before opening the call for Q&A. Let's turn to slide 4 for review of our second quarter 2021 results. Net sales increased 15% with 9% volume growth led by strength in Americas and Europe, Middle East and Africa regions. Adjusted EBITDA increased 1% and margins were under pressure at 19.8% compared to 22.6% last year. This year, we experienced higher volumes, additional productivity gains and pricing actions against dramatic inflationary cost pressures and supply disruption. Also, relative to last year, we had pandemic induced surges in essential products and minimize expenses due to lockdowns. On a per share basis, earnings of $0.79 were up $0.03 compared to last year. We generated free cash flow of $102 million in the first six months of the year which compared to $129 million in the first half of last year. We are raising our full year sales and adjusted EPS outlook and reiterating our prior guidance for adjusted EBITDA and free cash flow. Our SEE operating engine is delivering. Sales growth and productivity gains mitigated the adverse supply environment in the second quarter. This engine coupled with expected price realization is enabling us to maintain our adjusted EBITDA guidance for the full year and drive continuous improvement going forward. I want to highlight our SEE operating model on slide five which clearly defined where we're taking SEE in the future in what you should expect us to deliver. Our organic sales target is built up in a historically stable packaging market that grows 1% to 3%. We've been adding to this base with our innovations and automation, digital and sustainability to take us to an organic sales growth target of 3% to 5%. Our operating leverage target is over 30%, which drives adjusted EBITDA growth to 5% to 7%. We're targeting adjusting earnings per share growth of greater than 10% and free cash flow conversion of more than 50%. Our SEE operating model delivers significant cash for our discipline capital allocation. We're fueling growth opportunities with our investments in innovation and CapEx. Through SEE ventures investments, we're utilizing a balance sheet to incubate disruptive technologies and new business models to accelerate our future growth. We're also returning value to our shareholders through share repurchases and dividends. We approved a new $1 billion share repurchase program and recently increased our dividend by 25%. Our approach to capital allocation reflects our confidence and our vision, strategy and execution of our SEE operating engine. Let's turn to slide 6, which highlights are market driven solutions powered by our iconic brands. We encourage you to visit our website where you can read about our innovation and customer success stories. We create measurable value for our customers through automated and sustainable solutions that are designed to maximize food safety, minimize waste, protect goods, and deliver productivity savings. In the second quarter, we had strong growth across our end markets. We are leading a dramatic shift to a touch less automated environment for all customers resulting in more than 30% growth in our SEE automation portfolio. We're ahead of our plan to double our equipment business in the next three years. For our food customers, our SEE automation growth is a result of our integrated touch less systems with our high performance Cryovac materials. Bookings per AUTOBAG and auto box equipment were up more than 50% in the first half of the year. And we're investing more than 30 million in capacity expansion to help meet the strong demand for equipment solutions. Our automated solution to address labor shortages, productivity and employee safety. We're at the table with our customers providing connectivity from our operations to theirs, which is helping all of us exceed our sustainability commitments. Restaurants, sporting events, conferences, and other large public venues are cautiously reopening. Our solutions with high exposure to food service returned to growth for the first time since Q1, 2020. We're seeing growth in our Cryovac barrier bags utilized across all proteins, including cheese and seafood, and Cryovac pouches for soups, sauces, beverages, and other liquids. Our industrial markets were up double digits in the Americas, Europe, Middle East and Africa regions compared to last year when there were pandemic related shutdowns. We continue to capitalize on global e-commerce growth and increased demands for recyclable materials, fiber based solutions, and automated packaging that minimizes waste. In medical, pharma, and life sciences, we play a key role in the COVID-19 vaccine distribution benefit from growth in online shipments of medical equipment and pharmaceuticals. Now turning to slide 7 for an update on SEE automation. In the first half of the year, equipment, systems and service sales were up 26% and accounted for 8% of our net sales. We're on track to achieve approximately $425 million or 12% growth in 21, of which more than $250 million will come from equipment and systems. Our bookings for automated equipment are strong. We're confident in our ability to exceed $500 million by 2025. When you factor in a 3x plus solutions multiplier, including growth in parts and service from the install base, and the flow through of materials, this results in a $5 billion plus potential growth opportunity over the 10 year solutions lifecycle. The solutions multiple is why we are so excited about SEE automation. Let me now turn to slide 8 and talk about sustainability. Sustainability is in everything we do and fueling our growth. We're making significant progress on our 2025 sustainability pledge with nearly 50% of our solutions already designed for recyclability. Our innovation strategy is focused on maintaining the high quality standards that our customers are accustomed to in food safety, minimizing waste, and protecting goods. We're continuously optimizing our high performance materials, and incorporating more recycled and/or renewable content to drive circularity and make sustainability more affordable. We're also collaborating and investing with partners on mechanical and advanced recycling. As part of SEE ventures, we recently joined the closed loop circulars plastic fund. This fund invests in scalable recycling technology, equipment upgrades and infrastructure solutions to advance the recovery of plastics in the U.S. and Canada. You can see handful of our solutions designed for recyclability on this slide with many more shared on our website. Earlier this year, we established a net zero carbon emissions goal across our operations by 2040. We're taking many actions to reduce our energy consumption such as investing in Touchless automation, upgrading air compression systems, and utilizing LED lighting. We're also investing in renewable energy sources, including solar and wind. Between 2012 and 2020 our greenhouse gas emissions intensity decreased by a remarkable 50%. We'll share more details in our upcoming annual sustainability report. That will be available on our website in the early fall. I'll now pass the call to Chris to review our results in more detail. Chris? 
Chris Stephens: Thank you, Ted. And good morning, everyone. Let's start on slide 9 to review our quarterly net sales growth by segment and by region. In the second quarter net sales totaled $1.3 billion up 15% as reported up 11% in constant dollars. Food was up 6% in constant dollars versus last year and protective increased 20%. EMEA and the Americas were both up double digits. EMEA up 16% and the Americas up 13%. A-PAC was flat versus last year with a modest decline in volumes offset by favorable price. On slide 10, you see organic sales volume and pricing trends by segment and by region. In the second quarter, overall volume growth was up 9% on favorable price of 3%. Let's start with volumes. Food volumes were up 4% with the Americas up 7% and EMEA up 2%. This was offset by a 3% decline in A-PAC, largely related to Australia heard rebuilding. Protective volumes were up 15% with the Americas up 13% and EMEA up 36% while A-PAC had a modest decline. Q2 price was favorable 3%. You can see that protective had 5% in favorable pricing and food was 1% due to timing of pricing actions and formula pass throughs. We have implemented several price increases and expect 2021 price realization to be 275 million. On slide 11, we present our consolidated sales and adjusted EBITDA walks. Having already discussed sales let me comment on our adjusted EBITDA performance in Q2. We delivered adjusted EBITDA of $263 million up 1% compared to last year and margins of 19.8%, down 280 basis points, reflecting the impact of the current inflationary environment and supply chain disruptions. We are leveraging our higher volumes at 40% as we experienced a more favorable product mix. Despite favorable pricing in the quarter, you can see how higher input costs weighed on our EBITDA performance with an unfavorable price cost spread of $36 million. Operational costs increased approximately $13 million relative to last year. This increase reflects investments to support growth, inflation on labor and indirect material costs as well as the normalization of spent in the quarter. This was partially offset by $13 million in reinvents SEE productivity benefits. We expect our price cost spread to improve sequentially in the third quarter. However, we do not expect to see positive price cost spread until Q4. Adjusted EPS in Q2 was $0.79 compared to $0.76 in Q2, 2020. Our adjusted tax rate was 25.6%, reflecting a more favorable mix of foreign earnings. Our weighted average diluted shares outstanding in the quarter were 153 million. We exited the quarter with 150 million shares outstanding. Turning to slide 12. Here we provide an update on reinvent SEE. We have achieved $28 million of benefits in the first half of the year, and remain on track to realize approximately $65 million in 2021. Our commercial work stream is accelerating innovation and driving new customer wins in core and adjacent markets. Turning to segment results on slide 13, starting with food. In Q2, food net sales of $737 million were up 6% on a constant dollar basis. Cryovac barrier bags and pouches returned to growth, increasing approximately 10% and accounting for nearly 50% of the segment sales. This growth reflects the beginning of food service recovering relative to last year when protein plants and restaurants sporting events and other large venues were shut down. Sales in case ready and roll stock retail applications, which accounts for just over 40% of segment sales were down low single digits as supply disruptions impacted our results. In addition, this is against the backdrop of tough comps given the surge in demand from shutdowns a year ago. Equipment parts and service sales, which accounts for 8% of the segment were up nearly 40% in the quarter. We are experiencing increased demand for our automated solutions as our customers around the world invest in their processing plants to upgrade aged equipment and drive productivity. Adjusted EBITDA in food have $158 million in Q2 declined 6% compared to last year, with margins at 21.5% down 360 basis points. This decline was related to elevated input costs, supply disruptions, and the timing of pricing action. On slide 14, we highlight protective segment results. In constant dollars net sales increased 20% to $592 million. Industrial was up approximately 30% relative to last year when automobiles and general manufacturers are forced to temporarily shut down their operations. Fulfillment, which is largely driven by e-commerce growth was up approximately 10% on a global basis led by double digit growth in automated equipment, inflatable solutions, paper and temperature assurance. We leveraged our broad portfolio and global scale to meet increased demand despite ongoing supply issues such as industry related chip shortages out of Asia. The $30 million investments and capacity that Ted referenced earlier will help us meet increased customer demands for automation equipment. As a reminder, approximately 55% of our protective sales are derived from industrial and markets and the remaining 45% from fulfillment and e-commerce. Adjusted EBITDA of $107 million increased 17% in Q2 with margins at 18.1% down 100 basis points versus last year. Higher sales and productivity games helped mitigate higher input and supply disruption costs. Now, let's turn to free cash flow on slide 15. In the first half of 2021, we generated $102 million of free cash flow relative to the same period last year. Higher earnings and lower restructuring payments were offset by higher employee related costs and CapEx investments to support growth and innovation. On slide 16, we outlined our capital allocation strategy. We will maintain a strong balance sheet while driving attractive returns on invested capital and supporting profitable growth initiatives. In addition, we have a healthy acquisition pipeline that aligns with our growth strategy. On this slide, I want to highlight our growth investments. We are focusing our CapEx on breakthrough processes, automation, digital and sustainability. With SEE ventures we have invested approximately 40 million in early stage disruptive technologies and business models that are expected to accelerate our strategy and innovation efforts. As it relates to returning capital to shareholders in Q2, we were an active buyer of our stock. We repurchase 6.1 million shares for $299 million during the first six months of 2021, reflecting confidence in our vision, strategy and execution. And as Ted noted, today, we announced a new 1 billion share repurchase program continuing our commitment to return value to shareholders. This new program has no expiration date, and replaces the previous authorization. During the second quarter, we also announced an increase to our quarterly cash dividend of 25%. Let's turn to slide 17 to review our updated 2021 outlook. We are raising our net sales guidance reflecting strong first half sales performance and outlook for the remainder of the year. For net sales, we estimate 5.4 billion to 5.5 billion or 10% to 12% as reported growth and 8% to 10% in constant dollars compared to our previously provided 5.25 billion to 5.35 billion range. At the midpoint, the 150 million increase in cost and dollar sales largely reflects additional pricing. We continue to anticipate adjusted EBITDA to be in the range of 1.12 billion to 1.15 billion. On a reported basis adjusted EBITDA is expected to grow 7% to 9%. Higher Sales are expected to help offset increased material and supply disruption costs. Given the timing of pricing actions we anticipate a modest sequential improvement, and EBITDA in Q3, but the more meaningful improvement in Q4. We are raising our 2021 outlook for adjusted EPS to $3.45 to $3.60. And we continue to expect a 45 to 55 first half second half percentage split. Our outlook assumes as 153 million average shares outstanding, 1 million reduction from our prior guidance given share repurchases in the first half, and then adjusted effective tax rate of approximately 26%. And lastly, our free cash flow outlook continues to be 520 million to 570 million. There is no change to our outlook for 2021 CapEx of approximately 210 million and reinvents SEE restructuring and associated payments of approximately 40 million. As you can SEE on the slide, we wanted to provide a few variables as relates to our 2021 guidance range. The low end of our range would assume the magnitude and duration of material inflation and supply chain headwinds persist longer than anticipated and a slower pace of food service recovery. The high end implies market and geographic share gain, continued strength in automation, industrials, e-commerce and food and over performance of our SEE operating engine. With that, let me now pass the call back to Ted for closing remarks. Ted?
Ted Doheny: Thanks, Chris. Before we open up the call for questions, I want to emphasize how our SEE operating engine is delivering results on our journey to world class performance. We are clearly defining where we are taking SEE in the future and what you should expect us to deliver with our SEE operating model. We differentiate ourselves in the markets we serve with a broad set of innovative packaging solutions, global service scale, entrepreneurship and agility. Our people are working hard to exceed our customers’ expectations. This is core to who we are. Our talent is driving our transformation to world class. We will continue to focus on zero harm and protecting our people as the pandemic continues. We are reinventing everything we do, from how we innovate to how we solve our customer's most critical packaging challenges. Our strategy is working. We're creating sustainable, long term value for our stakeholders and making our world better than we found it. With that, I'll now open up the call for questions. Operator, we would like to begin the Q&A session.
Operator: [Operator Instructions] Our first question comes from Ghansham Panjabi with Baird. Your line is open.
Ghansham Panjabi: Thanks. Good morning, everybody. In one of your positive variances that you cited on slide 17 you call that share gains and markets and geographies. I was hoping you could give us a bit more color on that dynamic. And then related to that how much of the share gains would you ascribe towards products that align towards your circularity initiative? Thanks so much.
Ted Doheny: Thanks Ghansham and for the two parts to your question, I'm actually going to put that into bands for a second and give that to Chris and I'll follow up in the second part of that question Chris. And if you can remind me, but Ghansham before we get to your question for everybody on the call I did want to add some clarity to the Q&A and make a brief comment. Late yesterday, we announced that we received notification from the SEC staff that are previously disclosed investigation has concluded as it relates to seal there, and that the SEC does not intend to recommend any enforcement action against the company. As I'm sure everybody, and appreciate our comments are limited to the SEC documents that were filed publicly including in our press release in form 10-Q which we're going to file later with the SEC. Throughout this process, though, just want to highlight we fully cooperated with the SEC investigation. And we are pleased to put this matter behind us. So let's get back to your question Ghansham and Chris, if you can handle the first part and I will take the second.
Chris Stephens: Sure. Hey Ghansham, are you still there. Let's continue on. So I think you mentioned just in terms of page 17 for our overall, slide if I recall, you said that slide 17, which provides an update on our outlook on net sales, adjusted EBITDA, adjusted EPS and free cash flow. As we see overall performance in terms of the top line, very strong growth in the quarter, as we mentioned. If I was to change, if we were just to get to reflect what we said in the May time frame, and bridge it to what we view now in terms of top line growth, we increase last quarter, we increase the top line by 150 million. And we mentioned that 50% of that was going to be price and 50% of that was going to be volume. This quarter, we're up, we're going up another incremental 150 million mostly driven by price with a small amount of volume improvement. What we're most strength before is the protective side of our business especially out of EMEA where we saw extremely strong growth as we commented on in our prepared remarks. So that gave us confidence coming off first quarter second quarter, first half of the year, leading into the next year to increase our guidance 150 million. And that's how we feel pretty good about the performance and the execution in terms of the bottom line we talked about the price increases, multiple price increases that are necessary, in light of this significant inflationary environment that we're in, multiple price increases throughout the year to make up for that make difference, hoping to close that gap in the second half. And I did want to comment that our third quarter we do expect a slight improvement to 2Q like but as I mentioned that fourth quarter is where we'd see the bigger lift when formula based pricing other pricing actions kick in a more meaningful way. 
Ted Doheny: Great, and I'll handle this second part of the question where Ghansham asked about tell us about the investments in the circularity piece. So I'd like to point if I could to slide 8. So if you look at slide 8, we talk about what's going on with sustainability. And as we highlighted in our prepared remarks about our investment with closed loop and we're excited about we made previous investments and you've heard us talk about our SEE ventures we're investing in sustainability. We are using our balance sheet to go side by side with some really interesting investments that are out there. What we like about closed loop is it lines exactly where we're going. They focus on sustainability. They are focusing on the carbon footprint and taking this, taking the process from a linear process where you make a product, and that ends up into the ocean or landfill, how do you bring circularity to bring that waste back and recycle it, whether it's chemical recycling, etc. But the other part we like about their strategy is that they also connected to earnings growth. So they focus on this circular economy, how do we do that in a way to drive earnings. Also, our investment allows us to see what other interesting incubating technologies that they're looking at so we can see inside in the early investors some pretty exciting technology in this space, a recycled products and businesses that are out there. So we're going to be investing side by side. But it really ties in to our strategy of linking sustainability to our carbon neutral goals. But then also that we're in the business to protect and in the business part is how we're connecting it to the earnings. Next question, operator.
Operator: Our next question comes from Adam Samuelson with Goldman Sachs. Your line is open. 
Adam Samuelson: Thanks. Good morning, everyone. So two part question. First, was hoping to get a little bit of color just on volumes, I looked through the balance of the year, the volume growth expectations don't seem particularly aggressive. And maybe you can help frame by business, by region, kind of how volumes are tracking relative to pre-pandemic 2019 levels and where you see kind of the opportunities and risks over the balance of the year. And then just to confirm on the pricing side. So implies about 9% pricing, year-over-year in the back half, I presume, more fourth quarter weighted. Can you just make clarify for us kind of how we should think about the raw material cost trajectory through the second half? Thanks.
Chris Stephens: Thanks. Samuel. Maybe I'll take the second part first, because what we've seen is just coming off the announcement we made yesterday in terms of the press release overall pricing. If we go back to the first quarter call we talked about an incremental headwind on resins and chemicals primarily. This material inflation heading our way, roughly 150 million. What we're seeing now is more like 300 plus million and as a result we have implemented multiple price increases, more to come as we communicated. The realization of that price increase in my prepared remarks talking about just the overall it's the second half that 150 million increase to the full year guidance mostly is driven by price. Your first part of your question, just overall volumes, the strength of protective really commented in terms of the Americas and specifically EMEA has been extremely strong, some of that being on unfavorable comps completely clearly towards the second half of the year. But as we look at the second half the momentum that's moving into this into that part of the year, we just see protected continues to be strengthen. And there's no one particular it's kind of across the board, I don't have know Ted you have anything to add really overall volume for the second half. But it seems to be again leading the Americas and leading out of EMEA with Asia-Pac catching up the second half.
Ted Doheny: Sure, good. And Adam, as you can see how Chris and I are tag teaming. Chris will tell you make sure we do what we say we're going to do and give you a little bit of the excitement that we'll get through this journey is we put in the press release we went directly to our customers as well, about our price increase. So , it's pretty significant. What we've swallowed through the engine right now it's going through the engine. We'd like to get through this in the second quarter, but significant input costs. But behind that the engine is working. The productivity and the leverage behind that, as Chris highlighted, we're leveraging it 40%. But that input costs we got to get through and we think we'll get through it by the end of the year. We're not going to tell you which quarter because we don't know. But we are aggressively working the model that we showed on slide 5, that will happen and that's the guy where we're showing you where we're going in 2022 now and beyond. So some of the specifics that we're driving, it's really using our automation to get that through and help our customers. So just I will give you a little bit of detail. If you look at slide 7, where we look at our whole portfolio. I'm sorry, go to slide 6 . So if you look at our portfolio of products, of what's going to we do 30 billion packages. So if you just think about that with our whole portfolio, and you took that 30 billion this $5 billion company take equipment away, so we're talking about the average price for our package is around $0.16. Well, with this dramatic input cost, that's going to go from 16 to 18 and by the way, we're going to make it sustainable. And by the way, we're going digital. So we're getting actually take that probably up from $0.16 to $0.20 and we're being very transparent with the market that's coming. So what do we do, we got to drive automation. So the automation is where our growth is coming, where we can save our customers millions to afford those few cents per packaging. So as we get through this, and we swallow this incredible inflationary period, we are spending huge amount of time with our customers in driving the automation and to hit that sales growth number, and our whole portfolio will be on protective and food that we're going to be driving the automation, digital and sustainable solutions and you can see in the numbers that we're excited by going through this double digit up 30% more even the bookings, which we're tracking and tracing up significantly. So we're investing there heavily. We're working with our customers. We will swallow this inflationary period. The timing of it, we don't know exactly. But for sure, by the end of the year, we think we're going to do quite well. And we'd like to end on that model. The model will continue to perform going into next year.
Lori Chaitman: Operator next question, please. 
Operator: Our next question comes from George Staphos with Bank of America. Your line is open. 
George Staphos: Hi, everyone. Good morning. Hope you're doing well. Thanks for details. Hey Ted, you kind of took my question there that I had for you. But I'll try a different approach to it. So is the automation allowing you to also up sell the price per package? Or is it really more around you need to raise pricing and the productivity that your customers are getting from this is allowing them to absorb the increase in pricing and are you finding that it is one for one? And then the kind of the related part two is you gave us color on your automation sales and initiatives here in food? Could you remind us, I don't remember hearing it, what the automation, performance was in the for protective in the quarter? And overall, how that's helping you drive more operating leverage across both businesses? Thank you.
Ted Doheny: Good question, George and I'm glad I answered part of your question before. But going back into your detail on how we're doing this with our customers, and just remember, the customers are listening to this call with us as well. So I've been very direct and through this even this past quarter, I've been meeting with the CEOs of some of our major customers, literally around the world, most of those being virtual. So we've been very open. The package, our pricing is going up on the materials. So your question on the pricing side of it we want to share with them again those package pricing is going to go up a few cents. But where the real savings for them it's millions of how do we automate their operations and their issues right now are labor scarcity, the safety of COVID; how can we get in there and fully automate. So take these bills, there are millions of packages and save that money. So we're not talking to them about actually the price increase. We're talking about how we can save them money knowing that those materials are going to be more expensive. At the table with them we're also learning even more challenges that they're having. We're not the only ones that are experiencing higher input costs to our customers. So again, we're going even further into their facilities and actually bringing our ops teams into it with our customers to show them how we can potentially help them make their facilities more productive, safer and driving the level of level of automation. So yes, it's a pricing discussion, very direct. But it's really how can we save their money. So I'll keep pointing to slide 7, in that this is how we're selling that automation story to our customers. The second part of your question, I'll start and maybe if Chris wants to add more detail, your question is the equipment and the automation story coming in the protective side? Absolutely. Especially with fulfillment centers. We're seeing the automation come into these high volume for fulfillment centers very aggressively. What we used to do in the old model is we would give that equipment away even with our iconic bubble wrap, we actually can make bubble wrap on demand by the push of a button and do the, and create the bubble wrap right in the fulfillment center. But the really the growth in protected has been with Autobag. The acquisition that we made with Autobag and what they're doing with automation has been tremendous for especially in this environment, bringing our Autobags systems into the fulfillment center so that you can actually load the package more effectively, efficiently, and bring those high value materials around the package is where the growth right now through the pandemic is really-really strong. And we think more to come. And we're taking that to our food business as well. So to our customers, they think industrial is what we do because if you look at food plant, they actually call that an industrial operation. So just sharing with you, it covers all of our customers, the short answer on the pricing is we've got to save them more money. So we got to work harder, in automations, a great story to be at the table through these challenging times. 
Chris Stephens: Sure, Ted, what I'll do is maybe just add on to the George's comments relative to the volume. And what we saw in Q2, we mentioned food up considerably on the equipment side, but protective actually was up also double digits. And if I gave you the first half numbers, what we've seen is food be a little bit better than 20% and protective around 30%. So really significant, strong strength out of our automation performance for the first half of the year. And we're continuing to guy greater than 250 million, as you can see in terms of equipment and services and then that for 25 as we talked about. We have opportunities to exceed that for 25 clearly. We want to make sure it's in our performance and hopefully we'll hear a quarter from now talking about how that expectation for 21 is actually going to be greater than that 25. We got a good pipeline of opportunity.
Lori Chaitman: Operator, next question please. 
Operator: Our next question comes from Phil Ng with Jefferies. Your line is open. 
Unidentified Analyst: Hi, good morning, Ted. Chris, Lori. It's actually John on for Phil. I hope you're all doing well. I wanted to stay on the inflation and price praise costs. I'm sorry, the price initiatives that you announced yesterday. Could you talk a little bit about what's different, like why you announced these price increases in a press release and how it compared to some of the other price increases that you've put out without a press release earlier in the year and then Chris, I just want to confirm I think you said essentially that the price cost spread is now expected to be about a 25 million plus headwind for 2021 from about flat in the guidance last quarter. Thank you.
Ted Doheny: Hi, John, I'm going to do the first part and then turn it over to Chris. So why did we do a press release on this? And it's more than a price announcement. It's actually a problem solution announcement going directly to customers because it's been significant. So number one, price increases coming. It's across the board. It's not just with non-formula, formula, etc, etc. So it's everywhere. And it's across the world. The second piece of the announcement was it's a solution based announcement. Please let's work with you so what we can do to help you in this tremendous environment to bring our automation solutions, our full portfolio to you so we can help you with this situation. So it's directly to the customers. So it's a two part. So I'll let Chris handle the second part of that question.
Chris Stephens: Sure, John. So on the second piece of it, you're right, the first quarter of call we talked about trying to drive pricing actions and productivity, etc. to mitigate the concern on our EBITDA performance. We feel good about being able to maintain the current range but the dynamic there is driving incremental volume and driving productivity is going to help offset our view of the full year price cost spread to be net negative. You mentioned 25. Exactly right, we kind of view it as 25 million to 30 million of negative price cost spread for the full year based on what we know today. So, as I mentioned, just driving that volume, incremental volume growth in terms of bottom line performance and productivity to try to help offset that is how we overcome that to maintain our EBITDA range. And we stay committed to that as of now through the first half, obviously, of the year.
Lori Chaitman: Operator, next question, please.
Operator: Our next question comes from Jeff Zekauskas with JPMorgan. Your line is open.
Jeff Zekauskas: Thanks very much. Is it the case that as a base case next year you recoup your negative price costs spread? And secondly, in the food area for the third quarter is it the case that your raw material spreads will get a little bit worse and your protective spreads will get a little bit better leading to you having a little bit better of cost spread profile in the third quarter?
Ted Doheny: I will do my part. And then Chris, so Jeff, to the first part of the question. And again, I just keep going back to the slides why we put the model out there to continue. That's telling you where we're going. So again as we're swallowing this problem going through the engine we think to your question in 22 yes, we will be through this. Yes, we'll be head on the pricing. Yes, we'll be caught up. And that's what the model says that we're going to do. We just can't make the call right now because we don't know when this inflationary pressure is going to stop as we've even talked to you at your conference in the past that, hey, maybe it's going to be started coming down the second quarter. That didn't happen. Maybe it's going to come down in the third quarter. I don't know. So we're just giving you the guidance. We think we'll be through this going into 2022. We just can't make the call on when in 2021. The part of that. So yes, we will be ahead of the price, have our price ahead of the cost is sometime in 2021. And we'll be continuing to drive our model into 2022 as we laid out in slide 5.
Chris Stephens: Yes, sure. And, Jeff, as you mentioned, in terms of being able to recoup that inflationary headwind leading into the next year we will have that favor. We expecting assuming no additional pressure from an inflationary environment that we're going to recoup some of that material cost inflation going into next year given formula based pricing. But specific to your question around the second half of the year, maybe thinking through foods contribution as well as protected contribution or what that whole dynamic is between material cost, inflation and price cost spread. We see both segments being under pressure in the third quarter as I mentioned earlier. Some improvement from Q2 clearly but as you look to the fourth quarter, you see both segments, contributing positively from a price cost spread for food clearly more benefit from formula based pricing but we're also implementing price on the non-formula and protective, given the pricing actions we've taken will start to materialize as well. So you got this big lift in Q4 as we see the price benefit of the actions. The price cost spread benefit of the actions we've taken on price.
Lori Chaitman: Operator, next question, please. 
Operator: Our next question comes from Anthony Pettinari with Citi. Your line is open. 
Anthony Pettinari: Good morning. I'm following up on Jeff's question on food. Can you talk about organic growth expectations for the second half? And how those are kind of bracketed out between price and volume and then within those volumes, is there any way that we should be thinking about case ready volumes and food service volumes and how those might trend in the second half given the comps? 
Chris Stephens: Maybe the only thing to add to that is for food just that whole incremental 150 million in terms of May's guidance leading up to today's guidance on the food piece of it, we don't expect that to be big, most of the food increase is going to be driven by pricing actions. There is going to be a slight improvement on volumes and then protective is going to be continued improvement volumes as well as price but I guess I don't want to just be clear that that incremental price or incremental volume that we are profiling in terms of 150 million between the two segments will benefit both segments, but it's mostly on price. Volumes, we don't expect a big change. Ted maybe to add to that.
Ted Doheny: The other, Anthony, the piece on that what's going on in the markets that we'll see and again, if you remember year-over-year the first half, what we're competing with that comp of second quarter last year, when, during when the shutdowns hit, the bag business on food was really, really strong boy, we leveraged nicely on bags. But behind that we had food service, pretty much shut down with restaurants and that's the pouch businesses. We go into our liquids and tomato paste, etc. So we had those two things were. So we see that moving in the second quarter, we just can't tell you that timing on it. So we see the fluids in the pouch business which is extremely attractive business to us picking up and we will be gaining on that in the second half and again going into next year. So food is really a tale of two markets. But it's also the same with the protective where we had the industrial and e-commerce. So that is shifting in the quarter. But behind all that I just want to continually highlight the engine is working on driving the productivity on both of those internally. So that's giving us our competence to drive getting through this, driving it through the end of the year and into 2022. 
Lori Chaitman: Operator next question, please. 
Operator: And this question comes from Salvator Tiano with Seaport Research. Your line is open. 
Salvator Tiano: Yes, Hi Ted, Chris and Lori. Thanks for taking my question. Just trying to understand a little bit the price calls that people have been asking and what should we expect them to for specifically, you clarify you expect 25 million to 30 million of negative price costs for the year now. With Q3 also in the red and you're at 55 so far. So does that imply that you should be at least 30 million positive price falls into Q4? Is that that kind of how you're thinking about it? And as we talk about the Q4 implied EBITDA which seems to be based on a modest Q3 increase probably 320 million or something like that, based on the full year guidance. How much of that do you think you can sustain on a run rate as we look into 2022?
Chris Stephens: Sure Salvator, thanks for the question. So you're right. And just in terms of how we look at the fourth quarter, most of the benefits in price cost spread to our full year still being negative roughly 25 million to 30 million, that fourth quarter shows a significant increase. And again, I just go back to my comments in terms of the pricing mostly formula based pricing as well as other pricing actions kind of hitting in Q3 but they're going to show a big lift in Q4, based on our expectation. Kind of ending the quarter, a little early, early to tell because the inflationary environment, just as we were here 90 days ago, if you will talking about the full year 21 extremely dynamic environment. Right now our projections, our estimates for the full year show a nice improvement in Q4 for purposes of margin without a doubt the sustainability of those margins going into 2022 we'll have to assess based on the inflationary environment, as you know, our business ranges from 21% to 23% - 24% EBITDA margin, just depending on the dynamics and a particular quarter. What we're trying to drive for not only that incremental volume growth and the leverage off of that you're getting back to our operating model is to be able to drive EBITDA margins approaching 24%, 25%, over time, given the operating engine in terms of the ability to generate the cash and feel it back into the business. So, but Ted maybe additional comment.
Ted Doheny: Yes. Salvator as you can see, I'll be a broken record, we're trying to make this easy for you, easy for investors to see where we're going. So I'm going to go back to slide 5. So we're going to get through this and as you're working your model, as you're looking what's going through the third quarter, and then the fourth quarter, so you can say, well, the third quarter, your leverage is not there. And that's why we're explaining it, we're giving you the leverage behind what's going on with the engine behind this input costs and was actually leveraging it 40% even higher than our target is to see of the 30. So going into next year, we think we'll be back at that 30% target, probably be ahead of that 30% target in the fourth quarter but that net-net. That's where we think and we're pretty confident that we're going to make the operating model work as we get through this. So just want to keep sharing with you where we businesses going despite these challenges we're going to get through it and actually be a strong or better company on the other side of this.
Lori Chaitman: Operator next question please.
Operator: Our next question comes from Adam Josephson with KeyBanc. Your line is open. 
Adam Josephson: Thanks a lot. Good morning, everyone. Chris, just on your guidance, just want to make sure I understand a couple things. So polyethylene has yet to settle for July. So I'm just wondering, what is your actual polyethylene price expectation not only for July but for the balance of the year and then on the Delta variant I don't think you've talked about it, but just what is embedded in your guidance in terms of any potential disruptions in Asia or elsewhere from the variant. Thank you.
Chris Stephens: Right, Adam. Thanks for the question. So we have been, and we continue to be in this very inflationary environment as a relates to PE. So again, that's a sound like a broken record. But we're, in the face of it, we're acting to it or managing to it, we're driving product, we're doing everything we can to try to minimize the impact and feel there to maintain that full year guidance. Our expectation is that we're still in this inflationary environment. We do expect it to continue, call it for another month or two. But I'll tell you that makes us nervous a little bit, even make that statement, because of the dynamic we've seen in the past three months. We will react to it accordingly, of course, in terms of driving productivity and pricing actions as necessary. But we're hopeful that this thing starts to plateau kind of level out. And we continue to kind of move forward. But internally, when you think about our risks and opportunities, and as we share with we'd like to share with investors, when we put on our guidance slide kind of the downside, as well as the upside to our outlook. You can see the downside, clearly, still is that dramatic material inflation continues to supply disruptions, etc. But we'll manage through it. But let me focus on the positive. The positives are the global reach of our company that share gains the opportunity we already talked about the equipment piece of it in terms of what we're doing and how we're driving, we hope to exceed that for 25 as I mentioned before, and then between Ted and myself just continuing to reiterate the operating engine. The backbone that we have in place to drive productivity is there, it's real, it's happening. And we'll continue to pursue it. Regarding the Delta variant and the implications that has on our business, I kind of view it as every week as a new week, almost every day as a new day, as we hear more about it. It has us clearly concerned and one side of the business potentially may do better as relates to the retail food side, if you will, we did see some early signs of recovery on the service side. We're hoping that that food service, hopefully that continues, but time will tell. Time will tell.
Lori Chaitman: Operator it looks like we have time for one more question, please. 
Operator: Our next question comes from Josh Spector with UBS. Your line is open. 
Josh Spector: Hey, guys, thanks for squeezing in my question here. Just looking at Asia specifically a bit of a step down in 2Q versus 1Q in both segments, you talked about some weakness, and you mentioned the herd rebuilding in food. But is there anything else that's changed or resulted in a lack of growth near term? And how are you thinking about the second half and 2022 for Asia broadly as a result?
Ted Doheny: Josh good question. Obviously, if we didn't talk about it, it wasn't, as top number driving our numbers, but the Asia-Pacific growth in the quarter was not what we would expect. So we do think we have opportunities. I don't want to give you the answer of timing, etc. But we think we have some growth opportunities in Asia. There were some issues. Again, it's the year-over-year comparables. We had a really strong second quarter a year ago. In the guidance that we have, again, similar to the previous question that Adam had, we do have the philosophy of under promise over deliver. So we have, our Asia team is being aggressive on how do we drive growth in such a large region. But right now, in our guidance, we have a tepid number out there, but we think we have an opportunity. Really it's the same issue though. It's what can we do on automation. We're driving some significant wins. Those will materialize. Some of them you don't see because they're in the bookings. In the bookings, the good news, why we have confidence we can now see those bookings numbers are up, that will be realized. And so we see some opportunity in Asia-Pacific. It's a huge opportunity for especially, same thing the industrial, e-commerce, and even the food business if you're, reading what's going on with the African swine fever, huge industrial growth opportunity as China is converting from that wet to dry, some of those huge port plants, those industrial plants that we are connected with are under construction are being built. Will they be realized this year? No. But we see lots of opportunity in Asia-Pacific as far as our portfolio when it's only 15% it's not moving the needle. But we're excited about the opportunity to get Asia-Pacific more into our numbers for the future. So we got some work to do there. Good question.
A - Lori Chaitman: Thanks, Ted. Thank you all for joining us on today's call. We look forward to speaking with you in the near future. Stay safe and healthy. Operator.
Operator: This does concludes the program. You may now disconnect. Everyone have a great day.